Operator: Ladies and gentlemen, thank you for standing by, and welcome to the SS&C Technologies First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during that time, press star followed by the number one on your telephone keypad. If you would like to withdraw your question, I will now hand today's call over to Chand Madakka, Investor Relations. Please go ahead.
Chand Madakka: Welcome, and thank you for joining us for our Q1 2025 earnings call. I am Chand Madakka, Investor Relations for SS&C Technologies. With me today are Bill Stone, Chairman and Chief Executive Officer; Rahul Kanwar, President and Chief Operating Officer; and Brian Schell, our Chief Financial Officer. Before we get started, we need to review the safe harbor statements.
Bill Stone: Please note that various remarks we make today about future expectations, plans, and prospects, including the financial outlook we provide, constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, 04/24/2025. While the company may elect to update these forward statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn over the call to Bill Stone. Welcome, everyone.
Bill Stone: Our first quarter results are adjusted revenue of $1,514,800,000, up 5.5%, and adjusted diluted earnings per share of $1.44, an 8.3% increase. Adjusted consolidated EBITDA was $591,900,000, up 6.3%, resulting in a quarterly adjusted consolidated EBITDA margin of 39.1%. Our first quarter adjusted organic revenue growth was 5.1%. Performance was driven by our GlobeOp wealth and investment technologies and global investor and distribution services business. Globant posted strong results with organic growth of 10.3% and positive trends in private market and retail alternatives. Wealth and investment technology saw continued strength in the wealth segment, and GIDS met its client wins and volumes targets. We continue to feel good about our health business, which finished the quarter approximately flat. Our recurring revenue growth rate for financial services was 5.9% in Q1, which includes all software-enabled services and maintenance revenue. For the three months ended 03/31/2025, cash from operating activities was $272,200,000, up 50.8% from Q1 2024. We bought back 2,400,000 shares for $206,900,000 at an average price of $87.21. Consistent with our historical capital allocation practices, we will continue to buy shares. SS&C continues to see success internationally across several of our businesses. During the quarter, we signed our strategic lift-out agreement with Insignia Financial and have since won additional Australian mandates. In March, we hosted one SS&C event in Sydney, which has led to an increased profile, and we met with a number of our largest clients. We remain bullish on Australia. Geneva had one of its best quarters in EMEA history, winning three major deals in the region. We are outpacing our competitors in discriminating functional depth and breadth globally. Private markets have also enjoyed the fruits of international expansion, growing 14% in Q1. We are currently focusing efforts on The Middle East, with flagship clients driving regional growth. We strengthened our presence in The Middle East by opening a new office in Riyadh, Saudi Arabia, in addition to our offices in Abu Dhabi and Dubai. I'll now turn the call over to Rahul to discuss the quarter in more detail.
Rahul Kanwar: Thanks, Bill. We had a strong first quarter with organic revenue growth of 5.1%. GlobeOp started 2025 on a high note, posting 10.3% organic growth. The integration of Batea is also progressing well, and we've already won 10 cross-sell customers. In addition to these results, we're seeing healthy activity in key areas, particularly in retail alternatives and private markets. Our wealth and investment technologies business delivered strong results, driven by Alps Advisors and the Black Diamond Wealth Platform. Our strategic alliance with Morningstar is expanding the opportunity set. We're also advancing customer transitions to the Genesys platform with solid engagement across our prospects. The global investor and distribution solutions business saw steady growth, supported by key customer renewals and new retirement mandates. We continue to see a healthy flow of opportunities across global markets. Demand for AI-driven automation remains high. Earlier this month, we launched our global governance-first AI platform at Blue Prism Live in London. As part of the launch, we introduced a unified trust layer designed to help regulated customers adopt advanced technologies with confidence, using embedded guardrails and policy-based execution. This positions Blue Prism as a trusted partner in enterprise transformation. We also continue to deploy 3,300 full-time equivalents since we launched this effort in early 2023. We recently introduced 20 new AI agents capable of handling complex, unstructured content, including vendor contracts and limited partner capital statements. These innovations are central to efforts to support customers on their own AI journeys. With that, I'll turn it over to Brian to talk through the financials.
Brian Schell: Thanks, Rahul, and good day, everyone. As noted in our press release, our Q1 2025 GAAP results reflect revenues of $1,514,000,000, net income of $213,000,000, and diluted earnings per share of $0.84. Our adjusted non-GAAP results include revenues of $1,510,000,000, an increase of 5.5% over Q1 2024, and adjusted diluted EPS of $1.44, an 8.3% increase over Q1 2024. The adjusted revenue increase of $79,000,000 over Q1 2024 was primarily driven by incremental organic revenue contributions from GlobeOp of $34,000,000, Wit of $14,000,000, and Gibb of $9,000,000, offset by an unfavorable impact from foreign exchange of $7,000,000. As a result, adjusted organic revenue growth was 5.1%, and our core expenses also increased 5.1%, or $45,000,000, which excludes acquisitions on a constant currency basis. Adjusted consolidated EBITDA was $502,000,000, reflecting an increase of $35,000,000, or 6.3% from Q1 2024, with a margin of 39.1%, a 30 basis point expansion. Net interest expense for the quarter was $105,000,000, a decrease of $11,000,000 from Q1 2024, primarily reflecting lower short-term interest rates. Adjusted net income was $366,000,000, up 9%, resulting in adjusted diluted EPS of $1.44, an increase of 8.3%. Our effective non-GAAP tax rate was 24%. Note for comparison purposes, we have recast the 2024 adjusted net income quarterly results to reflect the full-year effective tax rate of 23.1%. An increase in the average share price drove the diluted share count up from 254,900,000 from 253,300,000 year over year. Cash flow from operating activities grew 51%, which is driven by growth in earnings, as well as improved working capital utilization. Our quarterly cash flow conversion was 74%, up from 54% last year. This is the end of the first quarter with $515,000,000 in cash and cash equivalents and $6,900,000,000 in gross debt. SS&C's net debt was $6,400,000,000, and our LTM consolidated EBITDA was $2,300,000,000. The resulting net leverage ratio is 2.74 times. We look forward to the second quarter and the remainder of the year with respect to guidance. We will continue to focus on client service and assume retention rates will continue to be in the range of our most recent results. We will continue to manage our expense by controlling and aligning variable expenses, increasing productivity to improve our operating margins, and effectively investing in the business through marketing, sales, and R&D. Specifically, we have assumed foreign currency exchange to be at current levels, interest rates to remain at current levels, an effective tax rate of approximately 24% on an adjusted basis, capital expenditures to be 4 to 4.4% of revenues, which is a slight reduction from prior guidance, and a stronger weighting to share repurchases versus debt reduction. For the second quarter of 2025, we expect revenue to be in the range of $1,489,000,000 to $1,529,000,000 and 2.5% organic revenue growth at the midpoint. Adjusted net income in the range of $343,000,000 to $359,000,000, interest expense excluding amortization and deferred financing costs, original issue discount in the range of $102,000,000 to $104,000,000, diluted shares in the range of 254,000,000 to 255,000,000, and adjusted diluted EPS in the range of $1.35 to $1.41. For the full year 2025, we are modestly raising our top-line guidance by $13,000,000 at the midpoint and now expect revenue to be in the range of $6,110,000,000 to $6,238,000,000. In mind of recent macro uncertainty, geopolitical conditions, and market volatility, we know FX translation has influenced our organic growth rate guide for the year. Current FX rates provide a potential top-line benefit, though we remain appropriately conservative in the current environment. We now expect 4.4% organic revenue growth at the midpoint. We continue to expect organic growth to ramp up in the second half of the year based on our current view of the pipeline, expected contribution from already sold deals, and Batea turning organic. For the full year 2025, we are slightly raising our earnings guidance. Specifically, we expect adjusted net income in the range of $1,441,000,000 to $1,541,000,000, diluted shares in the range of 253,700,000 to 256,700,000, adjusted diluted EPS in the range of $5.68 to $6.00, up 4¢ at the midpoint, and cash from operating activities to be in the range of $1,458,000,000 to $1,558,000,000. Our 2025 guidance reflects our solid results in Q1 with a continued positive outlook for the remainder of the year. We are also positioning ourselves to better support our growth, acquisitions, and integration plans with the conversion of our multiple general ledger systems into a single platform by the end of the third quarter this year. And now back to Bill.
Bill Stone: Thanks, Brian. We also added Francesco Vaughn to our board in March, and we welcome him. He had a very impressive career at Citibank, and he currently serves as chairman of the board of directors of Euroclear Holdings and as a member of the board of MAPFRE. We are excited about the extensive experience he brings in operational management and corporate transactions. We are operating in an environment of geopolitical and economic uncertainty leading to volatility in the global markets. SS&C has a long history of resilient performance during challenging operating environments, and we are confident in our business model. We closed out a solid first quarter and continue to execute against our plan. I will now open it up to questions.
Operator: At this time, if you would like to ask a question, press 1 on your telephone keypad. If your question has been answered and you would like to remove yourself from the queue, press 1 again. Your first question is from the line of Jeff Schmitt with William Blair.
Jeff Schmitt: Hi. Good afternoon. On healthcare, was it just a seasonally weak quarter for that business? And how does your pipeline look currently?
Bill Stone: I think healthcare continues to build its pipeline. You know, we're selling into large-scale health insurance companies and others, so some of it is lumpy. But we have a lot of interest. We first rolled out Del MonteRx in January 2024, and in 2025, we're expecting to process several hundred million claims. So we have a lot of interest, and they are very large prospects for us. We remain optimistic.
Jeff Schmitt: Okay. And then your organic growth guide for the second quarter, I think it's 2.5%. Is that assuming a slowdown or pause in new business just given all the economic uncertainty? I may have missed that. And if so, could you kind of quantify what you're assuming there?
Bill Stone: I would say, basically, we're just putting a measure of conservatism into the second quarter given everything that's happening in the world right now. We're a global business, and while we don't believe tariffs are really going to be a big impact on us from a financial standpoint, it's an opportunity to slow down deals. It's certainly possible. So I think we have a good pipeline. We've got a lot of deals we've sold, but the revenue has not started flowing in yet. So we're optimistic that we can hopefully surprise you positively.
Jeff Schmitt: Okay. Great. Thank you.
Operator: Your next question is from the line of Peter Heckmann with D.A. Davidson Company.
Peter Heckmann: Hey. Good afternoon. Hopefully, you can hear me. It's a little choppy on this end, but congratulations on finalizing the Insignia deal. Now that it's closed, do you think you could give us a little bit more in terms of your expectations for its contribution to revenue, how much it might ramp up, and whether or not we would be able to see the impact of that ramp on the margins in the second half or the first half of 2026?
Bill Stone: Well, we're going to rebadge about 1,400 people from Insignia to us, and that will happen around July 1, I believe. So most of the ramp is going to be in the third and fourth quarters. We'll get about a half a year, and that can range anywhere from $35,000,000 to $70,000,000. We're optimistic that we can do a great job for them and really take care of their members. That's what we're focusing on, and we've got a great team that's keeping this very well planned.
Peter Heckmann: Okay. Alright. That's helpful. And then just as a follow-up on your decision or the announcement to dissolve another one of the joint ventures with State Street. As that is dissolved, do you expect to pick up any additional revenue? What would you say would be the net effect on revenue? Would there be some additional revenue recognized at the corporate level, and what would you expect the impact to be on the EBITDA line?
Rahul Kanwar: As of right now, we're not expecting much impact as a result of that. Most of that is operational. The processing is done within SS&C, and in effect, what we're doing is simplifying the entity structure. There may be some reduction in costs because it simplifies it, but we're not expecting that to be very significant.
Peter Heckmann: Okay. And then just last thing is, where do you expect that to actually finalize and occur?
Rahul Kanwar: We're working through it right now. We don't have a definitive timeline as yet.
Peter Heckmann: Alright. Thank you.
Operator: Your next question is from the line of Dan Perlin with RBC Capital Markets.
Dan Perlin: Thanks. So, you know, just at a high level, again, Bill, on the demand environment, I know we've heard from other players in the financial services market. Banks, in particular, have talked about some of their clients pausing. It doesn't sound like you're seeing that yet, but I just want to kind of make a finer point that, you know, what are those conversations like? Do you get the sense that they feel like there might be an air pocket in the business and decision-making, so they might want to hold off? I heard your comment on the organic growth being measured at conservative. So I get that. But, obviously, you talk to a lot of these. So I'm just curious what those conversations were like.
Bill Stone: Well, I think, Dan, there's an awful lot of change happening in wealth and asset management. And there are sea changes that are being caused by things like AI and quantum and all kinds of new technologies, probably the biggest set of new technologies since, say, the Internet. So I think that there's going to be an awful lot of change, and I think that, you know, I read a note that said two-thirds of all CEOs are afraid that if they don't get AI right, they're going to lose their job. So I think there's a lot of trepidation about what's going to happen in the technological world, and SS&C is well-positioned to help our prospects and our clients get through this in a really pretty good fashion. We spend lots of money on this. We have all kinds of different tools and techniques that are very valuable to our clients, and we get lots of inquiries from them to help them.
Dan Perlin: Yep. Excellent. Can I just ask another quick question in particular around Zynga in Australia, maybe the market in general? I think I heard you say you signed several new mandates since kind of the announcement, and I'm just wondering, like, obviously, the demand environment there seems high. I feel like almost you guys sound giddy about the opportunity. Just trying to make sure we kind of ring-fence, like, what kind of cadence do you expect in terms of how that can potentially ramp? Thank you.
Bill Stone: Well, you know, Dan, when you get to be my age, being giddy is one of the pleasures in life. Other than that, you get to push up daisies, I think. So giddy sounds better to me. But it really is, you know, they call the superannuation business in Australia the wall of money. You know, everyone's required to participate, but it's their own accounts. As you know, here in the US, saying that you have your own account in Social Security. Well, you have more analysis than me. So I think that the services companies in Australia have maybe not kept up quite as well on the technology like we have. So we're coming in there as an at-scale company that has technology that they want and a whole cadre of talented people that can help them. And that's the feeling. We're getting embraced. You know? Now I hope we still get embraced because of the geopolitical things, but I don't think so. I mean, we're really doing well. We're investing, and they know it. So I think that's going to be a really great market for us.
Dan Perlin: That's great. Thank you so much, Bill.
Operator: Your next question is from the line of Surinder Thind with Jefferies.
Surinder Thind: Thank you. Bill, just a few questions on some of the segments here. When we think about Intralinks and we look at everything that went right last year in terms of the introduction of the new platform, how are we thinking about the performance of Intralinks in the current environment? How much of a headwind do you think it's going to be, or how should we characterize what the current growth rate looks like and how it might evolve over the coming quarters?
Rahul Kanwar: Appropriately conservative is kind of the way I would describe us looking at it. And so we think Intralinks right now probably grows mid-single digits. And that's in effect what's implied in our forecast. We do have a number of things that we have rolled out in terms of new platforms and some AI-enabled technologies that allow us to grow despite the turmoil in the markets. And then if we start to see things turn around in the second half of the year, that ought to be really pretty positive for that business.
Surinder Thind: Got it. And then, Rahul, can you maybe provide a similar update on Blue Prism and all the enhancements and the rollout strategy there? And how are you thinking about that over the course of the year?
Rahul Kanwar: You know, I think our primary opportunity or the thing that we're most excited about is there's a lot of, as you know, around the world, enterprises are trying to figure out how to use AI. And so they need to have some controls, particularly in regulated industries, on how people go out and use the various AI tools. And a big part of what we have invested in is building in, as I mentioned in my comments, the trust layers and the guardrails and things like that, which we think are extremely valuable to us. But they're also really valuable to positioning Blue Prism as that trusted partner. So our opportunity set is really strong, and we feel good about it. And in particular, using agents and AgenTeq AI is a big part of what we expect to do over the next couple of quarters.
Surinder Thind: Got it. And then, I guess, turning that question internally in terms of the digital workers, just any color on the complexity of the use cases you're now able to address and how you're thinking about that on a go-forward basis? It sounds like you're able to solve bigger problems at this point.
Rahul Kanwar: Well, that's exactly right. I think that we've got some momentum. We've now been at this since the start of 2023. We are, as you said, getting deeper and richer into our own processing. And just as important as the internal efficiencies we're getting, those applications then become really good proof points for our customers and prospects. So they look at what we've been able to achieve, and we recently had a customer tell us that they got a number of demos from our competitors, but not a single working use case. And meanwhile, within SS&C, they could see it already operating at scale. So that's pretty powerful.
Surinder Thind: And then what does that mean for margins? Do you feel like there's a structural tailwind that you have at this point that will continue? Or how should we think about that? Not necessarily this year, but as we conceptually think about it, or maybe even this year.
Bill Stone: So, Surinder, that's really a great question, and we appreciate it because you get one question and then apparently four follow-ups. But we I thought I was the last person in the queue. That's okay, Bill. We can take it off. Okay. I'm just kidding you. But you know, I think that we still think that what's allowed us to do is maintain margins. I think the adjusted EBITDA margin this quarter was 39.1%, up about 30, 40 basis points. And we're investing heavily. Right? So there are a lot of expenses that we're running through and still driving margins up. And I think we would attribute a nice portion of that to the ability of our different business units to deploy Blue Prism's technologies into their businesses. And as you said, it's getting to be increasingly complex processes that allow us to be able to even take some really experienced people and give them capabilities that really extend their ability to help our prospects and our customers.
Operator: Your next question is from the line of James Faucette with Morgan Stanley.
Michael Infante: Hi, everyone. It's Michael Infante for James Faucette. Thanks for taking our question. I just wanted to ask about the GlobeOp business. Obviously, really impressive results again. I think that business has accelerated sequentially every quarter for more than a year now. Can you just unpack what's driving that? Is that net new momentum? Is that pricing? What are you sort of seeing just in terms of the complexion of the growth drivers within that business? Thanks.
Bill Stone: You know, the great thing that we have with GlobeOp is that it's a global business. So as we start talking about what we're doing in The Middle East, we're getting large-scale customers that are investing increasingly in alternative assets, and they want the best technology supported by the best firm. And that's what we believe we have proven quarter after quarter after quarter. And I think that shows up in how we explain what we're going to do, how we're going to train them, asset classes that they can invest in, whether it's real estate or private credit or whatever, and we bring real expertise that really helps them get up to speed in short order. And that is the big secret of our success on GlobeOp.
Michael Infante: Makes sense. Maybe just on the competitive front, Bill. Obviously, a lot of acquisition activity in the space, particularly in the hedge fund and investment accounting space. I know some of these acquisitions are quite small relative to the totality of your business, but any just high-level thoughts on that deal and sort of how you're thinking about your ability to sort of continue to gain share in the startup hedge fund environment, particularly just given some of this integration activity that's obviously coming. Thanks.
Bill Stone: Well, I think what's happening in that startup is that it's kind of being led by very seasoned investors, and they're starting with larger pools of money. Right? So they're already sophisticated, and they want to hit the ground running. So as they're doing their fundraising, they're also planning out what technologies they're going to use. And often they turn to us. And we have an awful lot of the global macro firms use us, and an awful lot of the assets that have been going into alternatives go into the global macro funds. And so we're in a very nice position, and we're not resting on our laurels as we continue to bring out additional features, additional functionality, and really to the delight of our customers.
Operator: Your next question is from the line of Andrew Schmidt with Citi.
Andrew Schmidt: Hey guys, thank you for taking the question. I wanted to go back to this conversation on the demand environment. Totally understand the setup for the second quarter in terms of comments on conservatism and the mission-critical nature of what you guys do. But, you know, I'm just curious if you give us a sense of whether conversations and sales cycles have changed meaningfully in March and April. Obviously, it wouldn't be surprising, a huge amount of distraction out there. But I'm just curious, just put a finer point in terms of your conversation with clients and decision-making. Thanks so much.
Bill Stone: I mean, we still see a pretty good demand environment. We were with a prospect this afternoon, and they're anxious to deploy new technology to get better processes to close their books faster, to get information in their hands to help them run their business. I think that's the key to our business. It is being aware and then moving quickly to give our prospects and our clients information that they've wanted for a long time, and they don't get it in a month. They get it in a day. And I think it's that focus on process that slices it and dices it and delivers it. And I think that's something that we do with a lot of accuracy, and that gives our clients a lot of confidence.
Andrew Schmidt: Got it. Thanks so much for that, Bill. And then maybe just on the back half ramp, I know you are taking a few things that are drivers there. Part of that seems like Insignia and other signed deals, but maybe just give more detail on the confidence in the back half ramp. What signed versus go-get? I know there's always a level of go-get, gotta go out there and sell and close deals. But just maybe more details on the drivers and confidence in that ramp would be helpful. Thank you.
Rahul Kanwar: Yes. Andrew, obviously, and you pointed this out, there's always an element of go-get. I'd say we feel pretty good. Obviously, there's a fair amount of execution left to do and some deals left to close and implementations left to go live and all those things. So by no means certain, right? But we feel pretty good. We have a lot of visibility into some of the big pockets of revenue coming online in Q3 and Q4. And that helps with that.
Operator: Your next question is from the line of Alexei Gogolev with JPMorgan.
Ella Smith: Hi, this is Ella Smith on for Alexei Gogolev. Thank you so much for taking our question. So first, we want to double down about the strength in GlobeOp. You called out the strength in private markets of retail alternatives. How are you thinking about the forward organic growth of those markets in particular? Do you expect them to maintain their strength or taper off somewhat? And if you could remind us what is driving that strength, that'd be great. Thank you.
Bill Stone: Well, I think when you look at why our private credit and other private markets, I think it's because they can structure things in ways that allow them to get additional yield on those assets. And some of the brightest people in the business are saying they can structure things in the private markets where they can get a couple hundred more basis points than they can get in the public markets. A couple hundred basis points on the kinds of billions that our clients manage is worth a ton of money. And I think that's the biggest thing. And then I also think in their structuring, what they are able to do is really identify where the risk points are and then structure these investments to be able to minimize those risk points.
Ella Smith: Great. That makes a lot of sense. And for my follow-up, I hear your enthusiasm about adjunct AI and bringing that to customers. Do you expect those offerings to begin to show up in organic growth in the near term? Or do you think that there's going to be an investment building out phase that needs to transpire and finish first?
Bill Stone: I mean, it's not going to be snap your fingers and we get 400 basis points of organic growth. But it's going to make what is already a very sticky business, what is already a highly profitable business, and what is already a high cash flow generation business. And right now, like someone had asked about acquisitions, and even what you see in the market, it's continuation funds and additional investments in companies that they already own. So I think that the robustness of the M&A market might pick up in, like, the fourth quarter because I think increasingly, the private equity funds are feeling like they need to get some stuff out into the marketplace so that they can give cash back to their LPs and then the LPs can reinvest it with them.
Ella Smith: That makes a lot of sense. Thank you so much.
Operator: Your next question is from the line of Kevin McVeigh with UBS.
Kevin McVeigh: Great. Thanks so much. Congratulations on the results in what's obviously a choppy environment. Hey, Bill. If I got this question once intra-quarter, I got it 30 times. About, you know, hedge funds degrossing and what that means. And, obviously, your AUA continues to increase year on year and increase sequentially. Can you maybe just help remind us? Because, again, we got the question a lot. You know, why the AUA and we even analyzed in COVID. It just continues to grow, and it's just I think one of the really underappreciated parts of the story. But just maybe help dimensionalize that just, you know, given obviously some of the volatility in the market we've seen.
Bill Stone: Well, Kevin, as you know, when you see volatility, people are looking for safe havens. And what they've seen over the last thirty, forty years is that the risk-adjusted returns in the hedge fund industry are pretty non-correlated to these different markets, and that's why money moves to them. And I think that hasn't changed, and I don't think it's going to change in the near term if anything. I mean, we've seen the hedge fund industry move to cash or more cash. And I think that they're just waiting to pounce again. And I think that's the nature of the brightest investors, and I think that will continue.
Kevin McVeigh: That's helpful. And then, Bill, with Insignia, does that from a business segment perspective, does that all sit within GlobeOp or GIDS or where would that sit across kind of the segments, or is it multiple?
Rahul Kanwar: It's primarily in GIDS.
Kevin McVeigh: Terrific. Okay. Thank you.
Operator: As a reminder, to ask a question, press 1 on your telephone keypad. Your next question is from the line of Patrick Shaughnessy with Raymond James.
Patrick Shaughnessy: Hey. Good evening. So Batea seems to be trending well below the revenue that it had in 2023 when you guys acquired it. Is that just a function of the lumpiness of the just the nature of the business, or is there something else going on?
Rahul Kanwar: No. I think that's it. We're obviously taking some time to make sure we understand properly from an accounting standpoint what the flows are, and in some ways, I think there's some degree of being conservative reflected in that too. But as we get more comfortable, we do expect that some of those accounting rules will get relaxed a little. But on the underlying strength of that business, our ability to cross-sell that to our customers and how the Salesforce feels like they're being really well supported has us pretty optimistic.
Patrick Shaughnessy: What sort of forward-looking view do you have into that business? Like, at this point, into the second quarter, do you have a pretty good sense for what 2Q revenue is going to look like, or does stuff kind of come in relatively quickly?
Rahul Kanwar: Well, I think we have a pretty good view right now of the cases that we're in and the settlements that have already been announced and are kind of our portion of those. So, looking out a couple of years, we have a pretty good sense of what the aggregate amount is that is already baked. What we don't have as good a sense of is which quarter it shows up in, and that's a part of this.
Patrick Shaughnessy: Got it. That's helpful. Thank you. And then maybe just a quick housekeeping question. What is the FX impact on revenue that's embedded into the full-year guidance at this point?
Brian Schell: Well, it's essentially the net difference. One of the metrics that you would just look at the overall financials. And I think we put this in, I think it's either in the K or the Q, but about 21% of the revenues are non-US dollar. So, obviously, any impact to that will have the corresponding adjustment. Right? So if it's up by 1%, it has a roughly 20 basis point impact change on the overall growth rate. And so we try to be conservative and look at where current rates are today.
Operator: At this time, there are no further questions. I will now hand today's presentation back over to our presenters for any closing remarks.
Bill Stone: Well, we really appreciate all of you taking time to sit in on our call, and we're excited about our business. And we'll continue to work hard for our shareholders. Thank you.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.